Operator: Good afternoon, everyone, and welcome to the MGM Growth Properties' Fourth Quarter and Full Year 2020 Earnings Conference Call. Joining the call from the Company today are James Stewart, Chief Executive Officer; and Andy Chien, Chief Financial Officer. [Operator Instructions] At this time, I'd like to turn the conference call over to Mr. Andy Chien. Sir, please go ahead.
Andy Chien: Thank you, Jamie. Good morning, good afternoon, and welcome to the MGM Growth Properties' fourth quarter and full year 2020 earnings call. This call is being broadcast live on the Internet, mgmgrowthproperties.com, and we have furnished our press release on Form 8-K to the SEC this morning. On this call, we will make forward-looking statements under the safe harbor provisions of the federal securities laws. Actual results may differ materially from those projected in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from these forward-looking statements is contained in today's press release and in our periodic filings with the SEC. During the call, we will also discuss non-GAAP financial measures in talking about our performance. You can find the reconciliation to GAAP financial measures in the press release and Investor Presentation, which are also available on our website. Finally, please note this presentation is being recorded. I will now turn it over to James.
James Stewart: Thank you, Andy. I'd like to welcome everyone to MGP's fourth quarter and full year 2020 earnings call. We hope you and your families continue to be safe and well. I would like to start off by thanking the employees and families of every one of MGP and that our partner, MGM Resorts, for their commitments and hard work. We are approaching MGP's fifth anniversary since going public and couldn't be prouder of our collective ability to tackle new challenges, adapt and stand resilient. We are pleased to report that MGP continues to maintain its position of strength even as the global economy remains impacted by the COVID-19 pandemic. We collected 100% of our rent on schedule without interruption throughout last year as well as year-to-date. Our rent collection record throughout this challenging time demonstrates the durability of our master lease and strong liquidity position of our tenant. In 2020, we continued to execute on our disciplined approach to acquisitions and we remain focused on sustainably growing our dividend as evidenced by two increases in 2020, representing a 40% increase during the year and a 36% increase since our IPO. In the beginning of 2020, MGP welcomed the MGM Grand Las Vegas into its premier real estate portfolio through an innovative joint venture transaction with Blackstone. The joint venture also acquired the real estate assets at Mandalay Bay and entered into a long-term triple net lease with an initial rent of $292 million, fixed 2% escalators and robust minimum capital expenditure requirements. As part of the transaction, Blackstone also invested $150 million directly into MGP common stock demonstrating their confidence in the value of our Company. This transaction highlighted the growing institutional demand for gaming real estate and was another example of the attractiveness and value inherent in our assets. Against the backdrop of the challenges of 2020, MGP was able to grow its adjusted EBITDA AFFO and dividend and I believe we are in the early innings of a significant cap rate compression and resulting equity valuation increase both for us and for the entire gaming REIT sector. On December 2, we redeemed approximately 23.5 million operating partnership units held by MGM for $700 million in cash. The redemption was immediately accretive to AFFO per unit while keeping pro rata net leverage well within our long-term target of 5 to 5.5 times. As a result of this transaction, we have completed the agreement to redeem up to 1.4 billion of MGM's units for cash and their ownership has been reduced to 53%. In total we have redeemed 53.8 million of operating units held by MGM at an average price of $26.02 per unit. The redemption further bolstered our tenants already robust liquidity position during an uncertain time while being a financially attractive transaction for both of us. This is just the latest of many examples of our long-term value creation alongside our tenant MGM Resorts. Our tenant has approximately $5.6 billion of liquidity excluding MGM and MGM China - pardon me, excluding MGP and MGM China, providing ample access to cash to protect and grow their business for the foreseeable future. Despite the many challenges caused by the pandemic, there is light at the end of the tunnel. Many indicators point to a strong demand as the vaccines are distributed and restrictions are eased. As MGM mentioned in their most recent earnings call, gross bookings in January were the strongest since the start of the pandemic and guests are increasingly looking 90 days ahead - booking 90 days plus ahead. There are significant rooms booked for the third quarter and currently, there are more rooms on the books for the fourth quarter this year than they were last year at the same time. I believe the efficiency programs implemented by MGM last year, combined with the experiences learned over the pandemic, will allow MGM to realize sustainable margin expansion which will drive a quicker recovery as more and more states remove restrictions and new cases decrease. Our successful efforts to diversify our portfolio to have an almost even exposure to Las Vegas and regional markets has paid off handsomely and has positioned us well for the recovery. As we look forward into 2021, we'll receive our fixed master lease escalator on April 1, which will add approximately $15 million to our annual cash rent as well as the joint venture escalator on March 1, which will add $6 million to the JV's annual cash rent. We're optimistic for robust economic recovery and will remain disciplined in our approach to our long-term growth plan as we have for the last five years. We continue to communicate frequently with a number of gaming, hospitality and leisure operators and explore real estate transactions that would help them generate immediate liquidity, provide them with an opportunity to replace financial debt with predictable long-term leases and drive sustainable accretive growth for MGP. We are well positioned for that future accretive growth with ample liquidity and leverage well within our long-term target range. I'll now turn it over to Andy to discuss our financial results.
Andy Chien: Great. Thanks, James. 2020 was another successful year for MGP's balance sheet as we completed a number of well executed capital markets transactions. In the beginning of the year, we diversified our funding sources with an attractive CMBS debt financing to complete the MGM Grand Las Vegas and Mandalay Bay joint venture transaction. Throughout the year, we completed two upsized unsecured notes operations, permanently financed our redemption of MGMs $1.4 billion of operating partnership units. The first was in May when we issued $800 million of 4.625% notes due 2025. This was upsized from initial $500 million due to strong investor demand. Similarly in November, we issued $750 million of 3.875% notes due 2029. We're able to price these notes at the best interest rate in the history of the Company and also upsized the initial offering size from $500 million. These results demonstrate the continued confidence bond investors have in our cash flows for many years to come. I'll now provide highlights for few items in our fourth quarter financial results. In the fourth quarter, we recognized $188.3 million of rental revenue on a GAAP basis. Cash rental payments received by MGP and our pro rata share of the joint venture cash rent was $243.5 million. This consists of $206.9 million from the MGM Master Lease and $36.6 million from our share of the joint venture master lease. Our share of distributions received in joint venture was $22.9 million. Consolidated net income was $91.3 million. Consolidated AFFO was $169.6 million or $0.57 per share. Consolidated adjusted EBITDA was $240.2 million, G&A expenses for the quarter were $4 million and our dividend is $0.4875 per share which represents $1.95 on an annualized basis. Moving on to full year results. For the full year 2020, we recognized $768 million of rental revenue on a GAAP basis. This relates to cash rental payments received from the MGM Master Lease of $840 million. The decline in GAAP rental revenues from last year was due to removal of Mandalay from - Mandalay Bay from the MGM Master Lease and a subsequent addition to joint venture master lease. In the joint venture master lease, Mandalay Bay contributed initial annual rent of $133 million and together with MGM Grand represents $292 million in total initial annual rent of which we own 50.1%. For the year, share distributions received in joint venture was $81 million and consolidated adjusted EBITDA for the full year was $955.3 million compared to $922.8 million last year, representing an increase of 3.5%. Consolidated AFFO was $703.7 million compared to $685.7 million for prior year, representing an increase of 2.6%. Our balance sheet is well positioned to continue to achieve accretive growth in 2021 with the liquidity position of nearly $2 billion, consisting of $626 million of cash and $1.34 billion of revolver capacity. Finally, a pro rata net leverage of 5.3 times is within our targeted range of 5 to 5.5 times. With that, I'd like to turn it back over to James.
James Stewart: Thank you, Andy. Jamie, we'd like to turn it open now for questions.
Operator: [Operator Instructions] Our first question today comes from Barry Jonas with Truist Securities. Please go ahead with your question.
Barry Jonas: Maybe I'll just start with the M&A pipeline, curious if you can comment on any changes in the pace of the substance of discussions over the past 90 days? Thanks.
James Stewart: I'll start and then Andy, please feel free to jump in. I would say over that period of time, the last 90 days, there hasn't been a huge amount of change, but it's active. There is fair amount of discussion going on, the assets involved, range across the board from all different sort of types of leisure assets. There's a lot being talked about in the gaming space, of course. And I'm feeling pretty good about it. I think as we do get to a point where we're really on the other side of the pandemic, which we can see the light at the end of the tunnel and I can kind of see how we get there. We're just not quite there yet. I wouldn't be surprised to see a fair amount go on because throughout this whole period of time, the lease model has really shown itself be very attractive for not just the landlords, but for the tenants and that hasn't been lost on people. Andy?
Andy Chien: Yes. And I would just add that people are looking at this structure for the long-term predictability without refinancing risk of financial debt and being at the whim of refinancing at some point in the future with unknown rates and unknown quantum of debt, I think this model have become more and more attractive. And through this period of time as companies has seen their leverage creep up due to government restrictions on capacity, et cetera, more and more parties are looking at this as a way to fix the balance sheet in one fell swoop, but also to obtain that predictable long-term cost structure.
Barry Jonas: And just, this is a follow-up. In the past you've been somewhat specific in terms of minimum requirements for properties you'd like to acquire, I'm just curious to get your perspective on what is to happen for those parameters to change?
James Stewart: The primary parameter around size of transaction was approximately $40 million of EBITDAR and that was driven by two elements and it is a self-imposed bar that we can - because it's self imposed, we can go under it any time we care to that extent the deal made sense. There's a couple of things that we like about properties that are little bigger one, you typically find them in larger urban centers almost by definition, right. You have more customers because there's more spending going on and thus more EBITDAR going on. So that gives you diversity of customer. Also you are able to actually move the needle on the bottom line of a company with about $15 billion of enterprise value. One of the things that we have found very starkly is that the amount of work the team has to do when looking at a small transaction of a smaller property or set of properties versus a big one is we used to think it was the same, I would actually put forward the premise that a smaller property frequently has more work because they typically don't have the same level of analysis that's already been done, et cetera, around all the types of things that we would need to look at in order to make a firm offer for the lease. So one of the places that we don't want to be given we have limited resources, not just of capital, but of people of intellectual capacity, is that if you find yourself working on a deal that won't move the needle at all for a company of this size and then it takes your eye off the ball for one that is attractive and does move the little - needle, you've made a big mistake through that. So we have set the bar to $40 million EBITDAR, it's still there. It doesn't mean we can't go to $30 million. It doesn't mean we couldn't go to any number if to the extent that it was attractive, but we don't want to spend our time resources and effort chasing things that don't move the needle when we - and then at the risk of missing out on something that does.
Andy Chien: And there is one thing I'd add is just - and I think I've talked about this in past calls, but if the smaller property is part of a broader and larger master lease, it likely has many of these characteristics James talks about and that it is with the larger enterprise, a larger operator that has this data and has this information. And that credit support from being part of a master lease that is important for an operator to continue to pay the rents on, that makes a smaller property join up into a larger property just as attractive as the larger one. So I think that's another element that we continue to look at when we talk about the pipeline.
James Stewart: Absolutely.
Operator: And ladies and gentlemen, our next question comes from Rich Hightower from Evercore ISI. Please go ahead with your question.
Rich Hightower: So, MGM is now at 53% ownership of the operating partnership, it's not too far away from the 50% threshold. And I know that the B share officially dissipates 30%, but if there've been any conversations around maybe doing away with the B share once you get below 50 since we're so close and since you probably had plenty of investor conversations where that might be a sort of a key desire among part of the shareholder base?
James Stewart: Well, I can't comment specifically on any conversations, but I would just say this. MGM owns, as you noted, 53%. It's a very meaningful stake. It's close $4.5 billion, $5 billion depending on the day. And anything that increases our value is all the shareholders benefit and the largest shareholder being - or largest unit holder being MGM. So anything that would benefit the valuation of our stock, the greatest dollar benefit almost certainly would accrue to MGM. So Andy and mine - a big part of our job is to try to find obviously ways that we can keep driving value for our equity and other stakeholders. And to the extent that there is something that we think is out there and available such as that, we are, of course, going to highlight it and demonstrate why we think it's - what the tradeoffs - or what the benefits are and what the negatives are, et cetera. Ultimately, it is not to us, it's really in MGM decision what they want to do with the units that they own. But we are always in discussion just like we are with different operators on why we think the transaction with us could be beneficial to them on anything that could drive the stock. And those types of conversations are ones that one would naturally have. Where it goes? Of course, it's 100% in MGM's decision playbook given they own the units.
Rich Hightower: Right. I appreciate that color, James. And then maybe just a quick second question here. I guess within the non-gaming categories you're evaluating - it sounds like the pipeline is pretty robust there potentially, are there any sort of segments within non-gaming that you've just sort of crossed off the list given COVID? I'm thinking maybe movie theaters as an example, but there might be others. Are there're just sectors that you just won't touch given the experience we've had over the last year?
James Stewart: The most likely answer is yes, but I wouldn't quite put it into a category that we wouldn't even ever take a look. I mean one of the things that we do is basically take a look at almost everything that crosses our desk. Some things that get proposed to us are one can tell very, very quickly that it's a non-starter and it spends about 15 seconds on there before we sort of decide to exit off. And without going into specific sectors, I think it's probably pretty straightforward for you to see which ones would be extremely challenge, in industry where it has challenges from the pandemic and then you load on top of challenges from either the extraordinarily swift and significant changing buyer patterns of people in the United States and around the world, shifting to quick and easy deliveries as opposed to going to the store or streaming services becoming such a dominant component of how people consume entertainment and so on and so forth. We certainly don't want to put into - ourselves into a situation, which has long-term challenges even beyond the pandemic of which I think, look, unfortunately there is a lot of them out there. So, without going into any specific one, those are the ones we absolutely want to steer clear of. We are not totally exclusively with the gaming, I would say though. The best bang for the buck so to speak is in the gaming business. There are not as many buyers due to restrictions and due to specific knowledge one must have around the properties' historical performance, likely future performance, the way it fits into its jurisdiction, the nature of the licensing process in each jurisdiction, et cetera, that really causes a number of people who I think would otherwise want to bit shy away. And we're able to share that space with only a small number of other players who are also very knowledgeable and I think for all of us, it's led to transactions which I think will feed into the very cap rate compression I mentioned during my prepared remarks.
Operator: And our next question comes from Shaun Kelley from Bank of America. Please go ahead with your question.
Shaun Kelley: Maybe just sort of ask a strategic question or two around the portfolio. Obviously, there's a lot of chatter increasing around possibility of sports betting in various expansions of gaming in New York and I just wanted to kind of get your thoughts given the Empire City exposure, how do you guys think about that impacting the operations, good, bad or indifferent, specifically as you might think about enhanced rent coverage or value of that asset?
James Stewart: Andy, you want to take it?
Andy Chien: Sure. Certainly, not just to New York, but I think many of our jurisdictions were encouraged by the omnichannel presence of MGM as a growth in BetMGM in the online presence and online strategy. Certainly as jurisdictions in New York included add to and start really ramping up operations on digital front, we believe that's going to continue to drive customers into the buildings that certainly from MGM's call last week has led to pretty significant M life sign ups and vice versa. So that strategy is paying off and really driving some increased revenue contributions on both sides and we're encouraged by that. But the New York property, we had always thought the next big increase there was going to be table games, but certainly if sports and online comes to the market, that's another catalyst for that market to drive visitation, to drive additional investment into that property. And as a reminder, as you probably know is, we have ROFR on that property as well. So to the extent, there is an expansion, MGM, like they did with Monte Carlo when they rebranded and improved that to Park MGM, to the extent there are additional investment dollars there and we can buy that real estate, that's another great transaction for us that we have a right of first offer on. So, we're excited by that opportunity, but as well as other opportunities in the portfolio and other things that MGM might be doing too.
Shaun Kelley: Great. And Andy, if I could follow-up. We occasionally get questions in a little bit more frequently now on sort of the broader thought around sort of iGaming impact on brick and mortar operations, so obviously some of the total dollar figures that are thrown out there for kind of crossover play are really substantial, but if you kind of think about the brick and mortar impact, that is obviously particularly important to you. So, any thoughts or just kind of early evidence? New Jersey is the most developed market on this, so anything that you guys have either looked at, the customer surveys or kind of detailed demographic overlays that you kind of get a sense of potential risks around cannibalization for an asset like Borgata?
Andy Chien: As far as the cannibalization, we believe that the assets, the brick and mortar as well as the digital assets are working hand in glove. Each is benefiting the other as MGM talked about and as I mentioned as far as the M life sign ups as well as the BetMGM sign ups in the cross-play. Long term, we believe that the real estate has continued to have value and will continue increase in value in this portfolio and to have ample properties like the ones that are in our portfolio. For example, Borgata, that's always going to drive customer engagement. That's always going to drive people to want to arrive at the property, have an experience for those large events, March Madness or whatever the right next big event that we're allowed to all gather for. That customer engagement, that live experience, it is being replaced by digital currently, but I think there's going to be a pent-up demand for those people who want to come back and gather and experience that together. So that's something that we believe in the portfolio and it's going to work very well with the digital assets that MGM has and that just going to create more customers that are going to want to come to the properties and experience that and have that connectivity.
James Stewart: Just building on that for one second. The - one of the tenants of the company, upon formation and for the last five years, has been that we want larger assets with multiple things going on inside the building. That isn't just because when you go in, it's much more fun or pleasant to own that building, it's because that's what keeps people coming in. To the extent you have a room filled with slot machines and that's the extent of your offering, that offering probably is vulnerable to alternative forms of gaming on a phone or whatever. But to the extent you have a property that is unto itself a destination with sports events, boxing events, hockey games, football games at T-Mobile, I mean at Allegiant, concerts, fine dining, fun dining, all these type of shows, all these types of things, they're not happening right now, but they'll come back. And my own sense is and this is both anecdotal and just from general surveys that I've seen, there is a very, very significant pent-up demand and it's from our own knowledge as to the bookings of both the MGM properties and other experiential properties, really significant pent-up demand for people who want to get out and had a little fun and that is going to burst onto the scene very significantly once we get to the other side of this and it just isn't something that goes away because you have access on your phone. It's the experience and the fun of going into the building and the whole feeling of it that people go for in addition to the gaming, which is a part of it. And that's - the very way that we have set up our portfolio, it inoculates ourselves from a lot of the issues that I think one would have to the extent you're buying - you're looking at properties with very limited offerings where you're basically allowing somebody to come into play a slot machine, that will be a little more vulnerable I think to potential cannibalization. For us that is like number 28 on our list of concerns, it really isn't one.
Operator: And our next question comes from Daniel Adam from Loop Capital. Please go ahead with your question.
Daniel Adam: So you ended with quarter with $626 million in cash on the balance sheet and that's after redeeming $700 million of OP units in the quarter. I guess, what are your plans for deploying excess cash at this point?
James Stewart: We are in a very, very good spot as it relates to our overall liquidity and balance sheet position. We have a cash position as well as a revolver capacity of about, yeah, $350 million. So almost $2 billion of total liquidity. And look, we are looking to deploy that playing offence, right. We think there's going to be some fantastic transaction opportunities coming up and we want to be ready, whether it be one such as Springfield or expansions on existing properties or properties from other tenants. We're sitting in a position where we can deploy a significant amount of capital very, very quickly to the extent that the right thing comes along. In addition to that, our borrowing costs are at all time lows for us with our debt complex trading, most of it in the three, some of it down into the twos. So situations, times like this, we don't think they're going to come around every day. We want to be ready to position ourselves for offense and I think that we are. Andy?
Andy Chien: I think that covered it, James.
James Stewart: Fantastic.
Daniel Adam: Great, thanks. And then my second question is, if I recall the MGM Master Lease's subject to a few minimum coverage thresholds including a trailing EBITDAR to rent ratio of 1.1 times, just given MGM reported a consolidated EBITDAR loss for 2020, can you just remind us how that minimum coverage threshold works? And that's it for me. Thanks.
James Stewart: Andy?
Andy Chien: Sure. So the NIM coverage is 1.1 to 1 given the dynamics of the pandemic. It's at a point where that ratio doesn't currently apply and so given the governmental restrictions and things like that at the various properties. And so once we get on the other side of this - that EBITDAR ratio will can - will be recalculated again and to test. So, other than that there is no issues. MGM continues to pay rents in full and on-time. And for us and our shareholders, obviously, that's the most important thing.
Operator: And our next question comes from Joe Greff from JPMorgan. Please go ahead with your question.
Joe Greff: I think you talked about this in a couple of different ways, but I'm trying to stretch your external growth opportunities, maybe I love to hear your thoughts, maybe explained in this way in talking about the likelihood of gaming asset transactions occurring in 2021 or is it more of a '22 event and how does that answer differ when you're looking at strip assets versus regional one. And then, in general, how does the Las Vegas Strip asset transact right now that involve OpCo in a REIT? Thanks.
James Stewart: Joe, I'll just make a note of each of those parts. So this comes to '21 versus '22, we're only at the middle of February, obviously, '21, so there is a long time to go to the end of the year. So I wouldn't be - I'm not - it will be too difficult to predict specifically whether it would be a '21 deal or would have to fall into '22. I see nothing that would get in the way of a transaction happening in 2021 with the exception of a meaningful reversal of the progress that we've made in terms of reopening the economy and battling back against COVID. So, I am hopeful something does get done in '21. That said, on the other side of it, each of these transactions for us are large and they are complex. This is not like buying a CVS branch in a strip mall for $5 million or $6 million. These are very big and complex properties with lots of things that one must look at before pulling the trigger on what will be potentially $1 billion capital investment. The smallest deal we've ever done is $638 million. So you've got to make absolutely sure every T is crossed and every I is dotted and that you make in the right call here because you have to live with this lease and the building for 30 to 50 years and you have to make sure it can pay the rent. So they take time and on top of all the investigations that we have to do around ensuring that our capital is securely invested. Then you have lease that you have to agree with other parties. Now, luckily we have bid on properties with - obviously with MGM but all - and have a lease with MGM with a number of other third parties, so the lease component of working out the hundreds of different decision points one has to make is largely water under the bridge at least with a number of preferred kind of operators that we're close with. So I don't see anything particularly that could get in the way of '21 deal. But that said, if you probably wait any one transaction, it's very unpredictable to see when these things will get done and it frequently takes multiple years to get over the finish line. As it relates to regional versus strip, we're - when I say we're indifferent, it's very, very - we are indifferent along, but we're very property and location specific. There are certain - if the property is a dominant property, a large metropolitan area like we have with MGM Grand Detroit, that's one type of analysis you'd want to do versus maybe Gold Strike Tunica, right, which is another asset that we obviously owned versus a strip asset. But we really look at is the power of that building either because of its customer base, its operator, its fit and finish, all these things come together to determine how many - our own view of the ability to withstand the ups and downs of the economy, the ups and downs of competition, et cetera, and not just survive but thrive and be able to pay our rent, no problem. So Andy and I don't miss one night asleep and nor do any of our large shareholders because we just are that confident that it's going to get done. And whether that be on the strip or whether that be in Washington D.C. area, it is at least on what we want to look at the same type of analysis, although obviously each jurisdiction is very much, as you know Joe, its own animal when it comes to just multiple different facets of customers, city size, regulatory, it's at tax regime, et cetera. On the strip with an OpCo, there's many ways you can get done. It's not too different than how we would look at any of our other transactions. We would - there's lots of different ways that one can approach it, but at the end of the day, the operator has the right to run the building for a long period of time, our shortest was 30 years, our longest was 50 years. So they have the right to run that. And you set the rent at a level where we're confident that it can get paid. And not only that, we're confident that the operator has significant free cash flow above that, so they can reinvest in the building, earn a return on their own capital and both parties are happy and we put the lease in a drawer and never have to worry about it. But it's basically the same model of what I would put forward, what we've done on any of the transactions we've done, whether it would be in Ohio with the Hard Rock and then eventually with MGM or the Borgata which you bought from Boyd and so on.
Operator: Our next question comes from Jay Kornreich from SMBC. Please go ahead with your question.
Jay Kornreich: Going back to MGM OP redemption, does a new formal agreement need to be established before units can be redeemed and as units will get redeemed, how do you think about dividend increases?
James Stewart: Andy, why don't you take it.
Andy Chien: Sure. Hey, Jay. No a new agreement does not need to be established. The original formation agreements already has a construct and it's no different from any other REITs agreement with their OP unit holders with that. If MGM has additional units they would like to redeem and this is the traditional or original method, they come to us in the - the company, the REIT, that makes a decision as to whether or not it should be shares or cash and then we're able to satisfy that you mentioned at our option. So that's what it reverts back to and is currently the current state of the redemptions.
Jay Kornreich: Okay. And as you get redeemed in the future, how do you think about dividend increases related to that?
Andy Chien: We will look at those as those situations come along. Certainly, if we have an opportunity to redeem and we choose cash route and it is accretive on an AFFO per share, that's something that we can review with our Board to see that makes sense to increase the dividend thereafter. If we chose deliver shares, then the accretive aspect of that is less apparent. I mean, it is just unit per share transaction without a change in the total number of units. In that case, there's likely not any AFFO per share benefit and thus - and we'll still review with our Board at that time to see if there's other value-creating aspects that have come into the fray during that time such as an escalator or transaction.
Jay Kornreich: Okay. And then if I could just add one more just regarding sports betting and iGaming, do you foresee ways to participate with MGM in this growth maybe through financing the real estate for MGM acquisitions in newly legalized states or financing the physical sportsbook development at casinos?
James Stewart: We could do either of those types of things. I think one of the great benefits from the significant growth expansion area that is represented by online sports betting and iGaming is that there will be, I think, more transactions of fall out of this as people want to gain access to all the different state jurisdictions. So, yes, all those things are on the table. We don't want to participate in some form of like participation rent or something like that because from the very start of the company, our philosophy has been an individual investor can diversify on a one share $33 a share basis as to whether they want to own the operating side of the business with the ups and downs that come from that to potential growth, but also the potential downfall that they want to own the real estate return side of the business. And so we don't want to start mixing that model, but yes to the extent that there are new acquisitions from anyone who wants to get into a market that we think are attractive to us or build outs just like Andy mentioned with Park MGM or what we could - we have a ROFO on the similar structure for Empire, those are always that will be I think ultimately be accretive growth for us and we're pretty excited about it even though we're still in the very early stages of that development. But I think it's most exciting thing in gaming in a long time and will generate some really significant growth for the operators, which will be - which we are 100% for.
Operator: Our next question comes from John DeCree from Union Gaming. Please go ahead with your question.
John DeCree: Great discussion so far. I wanted to talk about another industry dynamic that we've been experiencing since casinos reopened and that's the kind of substantial margin enhancements and cost savings that your tenant has talked about as well as most of their peers, it's interesting that the number of assets haven't necessarily increased, but the potential rental pool given where EBITDA growth could go is could be substantially higher, so your addressable market might be expanding. I guess, it's a question of sustainability, your views on the costs that have been extracted from the business, I think more obvious in the regional markets today, but presumably in Las Vegas when demand return. So your view on sustainability? And then in the context of the M&A landscape, has that impacted the bid-ask spread in your discussions with potential sellers and how do you think about your underwriting standards in terms of rental coverage and things of that nature, it's kind of all the renew and could be a much larger rental pool going forward or it could be temporary. I guess, everyone have a different view, so curious your thoughts on that industry trend and how it impacts your underwriting?
James Stewart: It has been really, really amazing to see and I certainly would never have wished such a terrible thing on to the country, the industry of the world to have every people being forced to stay at home due to a virus and every property shut. But through this time, I would say a couple of things have really sort of been surprising and amazing to me on the positive side of the business side of things, which is, one, MGM started on its own efficiency program over a year ago and continuously moved up the targets as to what they view that they could bring out of the system. And when you take that and then you combine it with the lessons learned from having to shut properties down entirely on a short notice and these are big complex properties, reopen them on a short notice and then in certain situation shut them during the week and reopen them on the weekend, I think that there's one thing that is really withdrawn from this is just the incredible efficiency and well run nature of this business versus almost any other I've ever been involved, particularly in Vegas, but I would put it across the whole country where their ability to react to the market is just incredible. Shut something down as big as the MGM Grand Hotel on a moment's notice, reopen it again on a short notice, it's amazing and that multiplied across every property. So it's really incredible. But I think that starting with real zero based budgeting going from employee being - property being shut to opening up in small stages and so on, has generated lessons to the very savvy operators at MGM to understand exactly what costs are driving revenue and what aren't. The regional expansion in margin, which drove record EBITDAs on smaller revenue numbers was amazing and fantastic. I think some of it is sustainable, but it won't be all sustainable. Some of the costs that were cut at the business were loss leaders in order to generate customers. So to the extent that you are in a competitive market and you are trying to bring a customer into that market, there you take a proverbial customer where you're making $500 off of that customer in profit, would you be willing to spend $100 to bring him or her in from a rival property. Yes, because you'll make $400, right. And then the rival property will try to bring that person back again and offer them $200 of benefits or whatever. So the fight for customers, which was a natural outcome of just a competitive market will continue. But the way that operators are operating, I think, is so much savvier now and if I look at MGM again, the power that came from their own very thorough efficiency measures that were already in place combined with this knowledge, I think that you're absolutely down the right track and we see it pretty significantly. They won't all be like - the entire margin expansion won't be sustainable, but enough of it will where our addressable market will go up by a pretty meaningful amount, exactly what I don't want to say. I'm not close enough to it to say, is it 4%, 3%, 5% margin expansion be. I don't know, but it is significant. I do think part of it will be permanent and I think that you're going to see the same type of thing in Vegas as what you saw in the regions as the customer base that is here which is more visitation oriented as you know, starts to really return.
John DeCree: That's helpful, James. Quick follow-up to that. And again, it's probably not something you can opine on to directly, but when we think about the bid-ask spread, do you suspect - as everyone has different opinions of how much is sustainable, it will probably take a few more quarters as we start to see valuation discussions with you and potential sellers play out, so is the kind of - like, this creates a little bit of a wider bid-ask in some of the stuff that you're looking at given there is probably different levels of view on the sustainability of margin?
James Stewart: I would actually say, no, it really hasn't been that way. I have not seen a meaningful change in terms of sort of what each of the parties that us and the potential operator sees as sustainable or where we think it goes. I think we've been pretty much aligned with most of the people that we've talked to, maybe all the people that we've talked with. And we have the normal back and forth that business people do over what one should pay and what the terms of the lease could be and so on. But I would say, you haven't really seen a gap out on that and - a significant part of it as you know, but Andy and I've covered this space for 20 years. I mean, it's been for a very, very long time in the power - cash flow generating power that would come out of any one particular building I think we have a very good sense of and the operators themselves. It's unusual to find an operator who wants to set a rent number on a number that they feel or even if they have any question about the sustainability of incentive so high because they do have a very significant stake left in the property after you do a deal with us, the right to run one of these properties for 30, 40, 50 years is very valuable to the extent you said it too high and you roll under that rent amount such that you're not covering it with the property when we go into a downturn in X number of years or whatever, that's really position none of them want to be in that we have ever dealt with. And if there is someone who is willing to take that and as a view that they would then just toss the keys back to you, that's a tenant that we don't want. So we really haven't found that. Andy, what do you think?
Andy Chien: I agree. The pricing hasn't changed as a result of higher margins than I think anybody who is experiencing these higher margins on lower revenue. There is a day when that revenue probably comes back and they get to keep those higher margins. So it's even higher EBITDAR number than the market has seen that hasn't yet really experienced yet, but they can model it. So there is upside potential and that kind of goes your addressable market question. So that potential has been achieved. And so I think that's an aspect that operators want to experience and they want to make sure that they set the rent not too high as well to make sure they can experience the cash flow that comes above and beyond. And so it doesn't change pricing. That might just change where you set the rent, but it is going to go too far above as James talked about such that there isn't enough free cash flow.
John DeCree: Understood. That's really helpful, guys. I appreciate the insightful comments. Thanks again.
James Stewart: Thanks, John.
Operator: Our next question comes from John Massocca from Ladenburg Thalmann. Please go ahead with your question.
John Massocca: I'm continuing maybe to drill down on some of those pricing discussions. Has there been any change in conversations given some moves we've seen in interest rates typically on the long end of the curve? Have that made - have those made parties more receptive, some of the pitches around limited refinancing risk around net lease transactions and the impact that's having on some of the cap rates being discussed and any potential deals? Just some color there would be helpful.
James Stewart: Yes, it's been very interesting and we're still sort of in the early stages. Some of it is - we know where rates are now, but you never really know where they go in the future. I mean, we have our own guesses, of course, as does everybody. So we're sitting with very, very attractive borrowing rates and reasonably, I mean, I think our equity is, as I mentioned in my prepared remarks, I think we have a significant cap rate compression that's going to express itself here in that coming periods of time. So it's probably not where I think it should be valued, but it's not so far off of where we have been valued historically. That has - it's been hard to tell for certain assets that are very attractive. Of course, you are going to pay cap rate reflective of that assets value and thus with assets that are maybe less attractive, it's given us a little more flexibility maybe to move on things - move on transactions, which will be a little on the pricier side. But a lot of it also is just driven by supply-demand. And depending on the different risk tolerances of the potential buyers and the knowledge of the buyers on that property, et cetera, that really comes into a two. So I guess at the end of the day, I would say that, yes, it plays into it a little. But the flip side is also that the operators all are facing somewhat the same pressures, right, maybe not as low borrowing rates as ours, but the same type of reduced rate. So everything kind of falls into alignment around relative attractiveness of deals. There could be a little pressure upwards to the extent it was a hot auction for a really great asset because we have a little more flexibility, but more than that, it's just driven by risk tolerances, desire of the operator that have a particular partner, desirability of the equity component that you may or may not provide to a seller. All of that comes into it so much. I wouldn't - you can't isolate it strictly on that one point. But we haven't - it hasn't expressed itself yet. We'll see if it does in terms of if there ever was a really hot auction for a hot asset.
John Massocca: Okay. And then on the investment side kind of excluding the opportunity set in Yonkers, I mean how much development risk on a transaction would you be willing to take? I mean, specifically, would you be willing to kind of purchase assets that are still being developed kind of a target opening date a couple of years out or is that something - when you think about an investment, you want an asset already essentially producing the cash flow to pay the underlying rent?
James Stewart: Go ahead, Andy.
Andy Chien: Yes, I'll take this one. I think in terms of just pure development projects were more on the latter preference as an asset has already generating cash flows, so we can have a better sense and real sense of what the cash flow generating power of that property is. But at the end of the day, we've gone through - as James talked about, we've been through this industry for the last 20 years and we've seen properties open well and to expectation, but certainly ones below or potentially even above expectation. So we're well versed in different structures to make deals better for both parties and to protect ourselves and protect our capital to make sure these properties can open and do well. But our preference is certainly the properties are already open and have some kind of track record as to what is true earning power is as opposed to just the model on paper and then trying to underwrite it in there.
Operator: Our next question comes from Greg McGinniss from Scotiabank. Please go ahead with your question.
Greg McGinniss: Looking at the master lease escalator and the variable rent reset in 2022, have there been any conversations with MGM on maybe amending or adjusting those calculations, because leading the escalator threshold and not reducing the variable rent, implies a fairly significant recovery from here. So just your thoughts on that and whether you've been having those conversations placed?
Andy Chien: Sure. As far as the upcoming escalators, March 1, we get our joint venture escalator of this year. April 1, we get the master lease escalator for this year and those have no test for re-calculations. For your correct starting in '22, both the percentage rent as well as the fixed escalator rent, they have ratios to meet. As far as the percentage rents, we have four out of the five years that have been calculated and we have results for. Certainly this year will contribute to those results, so we don't obviously know how that's going to shape up. There is a good recovery at the latter part of the year and second half of the year or from here and out and certainly that will improve the percentage calculation and what that number will become. And for the full year escalator, whether or not we get 2% or stays flat on the larger amounts, that will depend on 2021's revenue calculations. So obviously we're starting the year off slow on January, February. Things start to come back in the coming quarters, I think there is certainly still possibility, but it's still yet to be seen. And whether or not we have discussions on adjusting those, that's - we will - those are conversations that we would have behind closed doors, but it's certainly we're always looking to create value for our shareholders. We look at everything and if it's something that has a good possibility and a good return, we'll look at those in priority. And so if it's projection or if it's - as we talked about earlier in the call, if it's relates to ownership or at escalators, we'll prioritize high return, high probability things to look at for our shareholders.
Greg McGinniss: Okay, thanks. And then just on the dividend, last call you mentioned being comfortable with the kind of the top end of the peer group on the payout around that 85% level. Is it fair to expect the dividend kind of raise in step with the lease escalators this year?
Andy Chien: We'll evaluate that with our Board coming up here. Certainly, as I just mentioned, the two lease escalators are coming in, in the next 15 and 45 days. And so once those can slow straight through to AFFO per share and really improve that ratio and give us additional room for potential dividend raises, we'll evaluate that with the Board to see where we want to take that. But as we alluded to before and as you did as well, Greg, we're comfortable where we are in terms of payout. Our leases are long-term, there is no expirations plus very high level of certainty as far as the level of rent that's going to be at regardless of the escalators that we talked about earlier and so we're very comfortable at our payout ratios.
Operator: And our next question comes from Robin Farley from UBS. Please go ahead with your question.
Robin Farley: Great, thanks for taking the question. Just as a follow-up. I know you talked a bit earlier about the potential timing of transactions this year and I guess it's one thing for an operator to tell investors that margin improvement is going to be sustainable, but it's another thing if they're willing to kind of commit that to future rent that will have this higher margins. So I guess how is better transaction would happen this year? I guess, I'm just wondering if - as everybody has to underwrite some kind of rate of recovery and then whether margins are sustainable or not, is it really reasonable to think that anybody is going to have enough visibility on that in 2021 to actually be willing to commit to those terms and permanently in a transaction?
James Stewart: Well, one of the things to call is every one of our properties is within a master lease and we have a corporate guarantee on every single aspect - every single property that we have. So they are all cross-collateralized across defaulted. If one is carrying its fair share, all the others have to kick-in or else everything within that master lease group is lost to the operator. So - and there is a corporate guarantee on it and the right to run these contracts for 30, 40, 50 more years is incredibly valued both. So there is a huge incentive to pay the rent. And in any one - in any deal that we would look, the likelihood of us just signing a single asset lease on the hope that something comes back is much less likely. We have shied away from single asset leases like that just for these very environments and types of reasons. So there's lots of ways that one can structure around some of the issues that you highlighted to the extent that it was a corporate goal from the operator to get a hold of a set of assets or to do it, say, at least back on a set of assets. Most of the operators - I think, all of the operators who we have talked with are sitting on extraordinarily significant amounts of liquidity with very limited maturities coming up in the near term. And this model not so much as some sort of stop gap to stop maturity coming up in the very near term, but is a more permanent way of financing the company which is frankly much more efficient and generates much more value for their shareholders. So when you look at a transaction like that, the types of things that we would want to look at would be are the assets - the other assets in such a structure that will compel the operator to make sure they pay, do they have enough liquidity to pay through all sorts of ups and downs, et cetera. So, although if one was looking strictly at a single asset from an operator who had such little capital that they were relying on next month's EBITDAR to pay the rent, I think that would be a concern and it is a concern for many of our brethren in the - particularly in the retail world, right, who look at things much more akin to that. For us typically, the type of deal that we've looked at just is a much longer term, much more strategic play for an operator who we sees us as a key capital component to unlocking future value through their plan and the idea that what the EBITDAR generation is versus rent for the next six or nine months just isn't a big enough component of it for them to stop a deal from happening.
Robin Farley: Okay, all right. Thanks. And then my other question is how quickly does MGM have to get back to that 1.1 to 1 ratio. It sounds like you kind of gave them some forbearance or something, so how long is that waived till? Or would you actually just sort of keep rolling that when - but at the moment, I guess, how quickly do they have to get back to that level?
Andy Chien: There is no required timing. It's just so long and there is governmental restrictions, the 1.1 is like that.
James Stewart: And there was no forbearance. It's just a part of the existing structure of the agreement that was always there to the extent you have a government induced shut down. Until that is not there, it kicks in. I think you'd see the same though on virtually any lease across the country.
Robin Farley: And so if there are no restrictions, let's say by June or whatever we see reticle date, then starting June 1, is that ratio tend to - is there a sort of 12 months for them to get back to that? I assume that measure would kind of start on that day. So you'd have actually 12 months after that?
Andy Chien: Yes, generally speaking that's how are - there is additional provisions in there that had to be calculated, but generally speaking, yes.
Robin Farley: Okay, great. So, plenty of room there for that. Okay, great. Thank you.
Andy Chien: Yes. And look, that's a protection for us. It's - that's something that to the extent there is non-performance that's just another tool that landlord has. And so if the rents been fully paid on time, no changes, then we're more than happy to keeping rent space.
Operator: Our next question comes from Smedes Rose from Citi. Please go ahead with your question.
Smedes Rose: I just had one question. So a Native American tribe move into commercial building. I'm just wondering now that there is a couple in there, do you think this might be a trend? And do you see that areas are areas for maybe potential new tenants going forward or other complexities there that you look to avoid?
James Stewart: Yes, it's an interesting thing. It has been going on sort of behind the scenes for some time that we've been aware of as the Native American facilities have become sophisticated, very capable operators into themselves in many of these regions that are not surprisingly looking to expand with their expertise outside of their very localized operation at least initially. So yes, I think that they have been looking and various groups have been looking for some time. There has been a handful that have pulled the trigger. I think that you will see more of that as they look to expand and diversify their own cash flows for their travel members and stakeholders. Yes, I think that you will see more and I think it is a potential growth area for us in a potential new tenant base. Each deal has to be evaluated obviously in the same sort of ways that I spoke about before, but I think that you will see a growing expansion in that buyer base due to the natural and very wise decision to diversify out from what are typically single property or single location, holdings initially.
Operator: And our next question comes from Spenser Allaway from Green Street. Please go ahead with your question.
Spenser Allaway: Maybe just one more on your opportunity set. On the JV side, just curious if there's been any more interest from private equity or others and potentially working together on a transaction similar to what you executed with Blackstone?
James Stewart: Yes, it's interesting Spenser. There is a significant and growing interest from some of the larger sophisticated private equity firms and capital providers in this space, especially given - one, Blackstone obviously validated it just to a degree when they bought the Cosmopolitan further with the Bellagio further with the Grand and Mandalay JV that we have with them. But as we went through this period of time and I think if you went back a year ago, we had just closed on the Grand transaction and people did not see this coming, at least not anywhere close to. And how it actually unfolded, I think if you had told a lot of people and the very sophisticated fans here that this would happen, they would have been very nervous about what the outcome would be of the model. And as I talked about in our prepared remarks, I mean the model has come through with just absolute flying colors versus any other industry that other than maybe data centers or something like that, storage I suppose, has. So the interest in the space either in terms of doing similar types of transactions or so on, I think has increased. It's typically large, very sophisticated institutions who have the ability to put extremely capable and hardworking folks against a problem to figure out the ins and outs and offset some of the potential capital risk that they would employ through a deployment of cash by partnering with us. So I think it's a great trend. I'm couldn't be happier that we have - already have this JV in place which can act as a blueprint for what we're willing to do and not do in terms of an agreement, Blackstone has been just an absolutely class act through all of this and just excellent partner. And there's others in the space who want to try to emulate what they've done. I'm not concerned particularly as it relates to competition around any one asset because transactions for the type of assets at these firms are looking at which they typically seem to like high value, high fit and finish assets given just the amount of capital. They have to deploy lends itself to sort of a joint venture type structure with someone who lives in Vegas can go see the asset every single day so on and so forth versus making a multi-billion dollar deal on their own. It's just a natural to sort of go that way. So I think that you'll see excess returns - excess rent. Excess returns will bring in capital and I think we are in inning for - we may be the first half of the first year still in terms of that movement, but I think that's a component of what will ultimately drive our own cap rate compression I talked about in our prepared remarks.
Operator: And ladies and gentlemen, with that, we'll conclude today's question and answer session. I'd like to turn the conference call back over to management for any closing remarks.
James Stewart: Thank you, Jamie. Thank you to all of our investors and partners for being there for us through this past year. Look forward to 2021, we think it's going to be fantastic. Thank you.
Operator: And ladies and gentlemen, with that, we'll conclude today's conference call. We do thank you for attending. You may now disconnect your lines.